Operator: Good day and welcome to the Playtech's Q3 Interim Results Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Mor Weizer, CEO. Please go ahead, sir.
Mor Weizer: Good morning, everybody and thank for taking the time to join us on this call to review Playtech's Q3, 2014 performance. Especially those of you dialing from Australia. I'm Mor Weizer, Chief Executive Officer and with me is Ron Hoffman, our Chief Financial Officer. Before Ron reviews the numbers, I would like to say not only is this the best quarter Playtech has ever had, but it is the 13th quarter in a row that we've achieved double-digit growth which follows the extensive operation at the work in line with our strategy, outlining our interim presentation. I will now hand over to Ron, before I take you through some of the acquisition and achievement this quarter.
Ron Hoffman: Thank you, Mor and good morning, everyone. I'm pleased to announce that this quarter has product strongest set of results Playtech has ever reported. Revenue was over €116 million up over 28% on the same period last year and on the marginally lower on a like-for-like basis after excluding various more acquisition including Euro Live and Cyclone [ph]. A similar marginal effect is seen also and stripping out the effect of movement in exchange rate, with approximately 26% [ph] growth on a constant currency basis. Revenue for this quarter, was also up over 4% on Q2, 2014 despite Q3 being a traditionally slower quarter due to seasonality. Looking at the product vertical with more detail Casino generated over €62 million up over 33% on a comparable quarter in the prior year and approximately 3% on Q2, 2014. This impressive increase was mainly driven by growth in mobile, which I'll cover in more detail shortly live. Playtech's open platform solution Visible with Gala Coral, Ladbroke and other, premium contents and core casino which was driven by both organic growth in new business including strong growth in Asia, Ladbrokes, Gala Coral, Betfred and others. Mobile casino revenue was over €6 million more than double that of the prior period, continuing the strong growth trajectory seen in the first half. As we predicted at the time of the interim results. Mobile casino has now surpassed mobile sport to become the largest constituent part of mobile. We also started seeing our mobile live casino offering becoming more and more popular. Although still small as in its early days with growth seen with Paddy Power, Bet365, Betfair and other. Overall mobile now accounts for 15% of software revenue and it continues to be a major opportunity for future growth. Services contributed €34 million to revenue up over 19% on Q3, '13 and around 8% above the previous quarter. During the third quarter, the company commenced the delivery of turnkey strategy with three licensees which move their UK basing activities under the Playtech white-label structure. These while currently still small in size, strengthening our position as a key provider to these licensees and support the financial and operational benefit which can be achieved by using our turnkey offering. Excluding the effects of these along with the acquisition of Euro Live. Like-for-like services was up 11% mainly due to organic growth of live facility services as it enjoy the growth trench from the live offering. These factors have mitigated the negative effect resulting from certain licensees transitioning from certain .com market and the markets trend effect on PokerStrategy revenue in the challenging poker market. Services continues to be a key vertical to the future success of securing structured deals and the significant earnings that can be achieved by delivering on strategy. Sports revenue totaling over €7 million with more than double from that as a comparable period. Online sport improved 84% driven by results favoring the bookies during quarter and new licensees including Ladbrokes in Spain and Belgium and [indiscernible] little sport. While mobile sport grew 114% to contribute over €6 million. Mostly driven the launch of Ladbrokes in Q4, '13 as their organic growth of mainly Gala Coral and William Hill. Bingo generated €4.6 million in revenue, an increase of over 9% on the same quarter in 2013. Positively impacted by the sterling-euro exchange rate. On a constant currency basis, Bingo increased approximately 2% driven by organic growth including Bet365, Gala Coral and SKY supported by Trinity Mirror who completed their soft launch migration phase during the quarter. Encouraging results for traditionally slow quite quarter. Poker was up 3% compared to the same period in the prior year. The poker market remained challenging and the positive result is linked to a weak comparative due to certain one off items in the prior year. A small positive impact from a stronger sterling exchange rates Ladbrokes and growth in France relating to Betclic errors. Land-based revenue which includes video-based, IGS Casino Management and retail sports worth €3.5 million, up approximately 21% on the comparable period last year. Mainly driven by the acquisition of Cyclone [ph] in the first quarter and new business further complimented by the strengthening of the sterling in the period. On both constant currency and like-for-like basis. Land-based revenue increased by approximately 10% on the prior period. Mainly due to an increase in the number of terminal in Mexico and the number of new casino installations for IGS including Casino campione D italia, the largest casino in Europe and MSC Cruises and further new business. Cash and cash equivalent at the end of the quarter were over €400 million following payments of €10 million for 33% stating 33% stake in BGO and further €10.5 million for the acquisition of the Aristocrat Lotteries. Looking at current rating, daily average revenues over the first 21 days of October were up over 22% compared to Q4, '13. Slightly above the level we reported so far this year and were up over 2% on Q3, '14. Looking ahead, we still have significant growth drivers which are yet to be reflected in the current status including the structured agreements with Caliente and Gazzetta dello sports, further secured software agreements. The contributions from the services agreements with Ladbrokes and many more. I'll now hand it back to Mor.
Mor Weizer: Many thanks, Ron. Before taking your questions. I would like to look at some of the operational factors which have contributed to another record quarter. The third quarter followed the theme discussed in the interim presentation which focused on the continued execution of our strategy. We launched new licensees extended our relationships with some of Playtech's largest licensees adding more Playtech products to their portfolios and renewed certain contracts with others. We also sharpened our set of tools converting retail, online and mobile and remain focused on content adding more gains to our ever growing game portfolios further cementing our position as the largest content provider in the States. Casino revenue increased 33.3% over the comparable quarter continuing the same trends seen earlier this year and also due to Ladbrokes which only for the launch of at the end of April, Gala Coral, whose mobile activity was significantly up and UK casino more than doubled compared to the prior year. Live royalties also outperformed this quarter, growing their 28% mainly due to some major licensees such as Betfair, Paddy Power, Ladbrokes as well as growth in other markets. We expect a similar trend for the remainder of the year. Mobile casino royalties increased substantially given strong growth in major markets and Bingo side games performed well, due to increased TV marketing by certain leading Bingo licensees which I'll discuss further in a moment. In summary, our growth follows the growth of Playtech's largest blue chip licenses in some important markets. We continue to invest in our games library, launching new games in both web and mobile and launching additional new branded games. We have also started to adopt popular land-based slot contents for the online market to bolster our unique integrated offerings making us truly channel agnostic, whether land-based, mobile, web or broadcast. We have found exclusive groundbreaking strategic agreements with seven on the industry's leading land-based content provider for the UK, Italy, Spain, Eastern Europe, Asia and South America with farther agreements in the pipeline. Some of these games will be available through our open platform, whereas land-based casinos, who already have an online office and powered by Playtech, will be able to offer their content through Integrated IMS platform, which we expect will benefit them and accelerate their growth. As I mentioned to you, as year-end and at the Q1 and interim results. Sport has been and remained a major focus over the company. I also said, that we had a strong pipeline of licensees in the sport vertical and that our sport web and mobile product, would in time become the leading sports product in the key European markets and elsewhere. Over the third quarter, sports more than double to €7.1 million with exceptional performance in both and web and mobile. Following [indiscernible] the derby day, the grand rational, royal escort and the World Cup. Our sports product is now fully beta tested for this ever changing sport betting environment and based on feedbacks from our licensees. It presents the most sophisticated and advanced offering available in the market. Right now, we have a further licensees in the pipeline targeting opportunities in Africa, Italy, Australia, Spain, Belgium and the UK. Bingo return to growth over Q3 driven by major sports betting in Bingo operators such as Bet365, Gala, Paddy Power and SKY supported by Trinity Mirror, who are through their first soft launch migration period and recently started a major TV company. Today around 10% of Bingo is arrived from the mobile channel. Based on their performance and ever increasing mobile share for some leading Bingo licensees debt focus on mobile marketing, we believe that, mobile Bingo activity will grow significantly in the coming quarters, hence presents a true growth opportunity. Internal metrics remain strong and we believe, we are at least maintaining market share in a competitive market place. Licensees are implementing the more focused quarter strategy, well by their acquiring players via Bingo and cross selling them into casino style games which [indiscernible] and improve overall licensing margin. While Poker remains a challenging market, we adopted a significant change in the way our operators and the fees from lucrative players. This was strategy in Italy and is now being roll out across the network. Our rate distribution structure has changed, so it attributes rate based on value and contribution of each licensee taking into account not only the players, bets but their deposit as well. This new structure actually incentivizes operator to spend money on marketing to attract new depositing players as well as convert players from other format, which will improve the quality of the network and generate better returns to our licensees. Our mobile and tablet focus is gaining traction and is providing means for operators to acquire players more cheaply. We are finding a large number of players enter the poker field through the mobile and then continue playing via web, once they've resumed betting with larger funds of money. As I've said before, poker remains a key offering in regulated markets and is an important complimentary product for sports betting operators. Moving on to mobile, mobile casino is now slightly larger in the mobile sport. Having more than double this quarter to €6.1 million. We have worked hard to transition online content to our mobile platform and we now have a total of 60 games offered through iOS and Android, as well as HTML files consisting of the most popular content and we are continuously accelerating the number of games released on mobile and expect to continue in the quarter, in the coming months. We've seen exponential growth over the year, with Q1, 2014 growth of 87% growing to 103% in this quarter. notwithstanding, mobile casino remains limited when compared to web and we are confident, that it presents farther growth opportunity for the company and its licensees as they continue to convert player from web to mobile and attract new demographics of players. Mobile Poker, is also starting to gain momentum, while the overall mobile Bingo channel was around 11% of overall Bingo there is a greater penetration of casino side game, then called Bingo. We continue to launch, new Bingo content with a minimum of 200 games planned for 2015. Now the acquisition of PokerStrategy as anniversary. I'm pleased to see strong growth to PTTS driven by both live and operational services. Additional growth was driven by white-label operations for Trinity Mirror and other brands ahead of the expected levels that we changed in the UK. The introduction of thus in a competitive market, presents a great opportunity to further expand our white-label offering and operations as companies will seek a full turnkey solution that can improve their margins allowing them to focus on marketing and maintain their presence and position in the lucrative UK market. RCS Media have launched the Gazzetta Bet site with sports run under a fully turnkey solution. this is first phase, we effectively launch a full working mobile casino offering later this year. We are pleased with early progress being made, but it is too early to read anything to further ahead. Caliente will shortly be launching and I believe that in time, it can become a very significant licensee and will provide a turnover into other South American markets. Our efforts and dedication in the third quarter and area [indiscernible] are paying off and we not only ferment and extend relationships with our licensees. We also said that, stepping stones for farther growth which is expected in the remainder of the year and the following year. It is believing to see that our licensees trust us, as their strategic technology partner and understand value proposition and our capabilities to support and accelerate their growth. Looking forward to the balance of even beyond, the board remains highly confident of the continuing growth prospects for the company. Operator, we will be pleased now to take any questions there are.
Operator: Thank you. (Operator Instructions). We will now take our first question, please go ahead. Your line is open. Your line is open, Victoria Greer, please go ahead.
Victoria Greer – JPMorgan: Can I just ask a couple of questions on geographic growth and Asia is still very strong in the quarter. it looks to me, 18% plus, can you color any particular market or a products that are driving in that? And I mentioning question maybe for you to and it looks like, it crossed about 2%, are you still seeing some disruption there from [indiscernible] regulated markets or any other factors going on there?
Mor Weizer: With regards to Asia, actually we see the same trends that we saw so far, I think the beginning of the year. We see as very clear trends as part of which, if before it was always about, there is a saying with inflated, that seeing is believing. One trend, we saw that over the last 18 months and this trends continues and continues in the last quarter. It is that players now choose to play R&G games based on graphical engines rather than just a live games, which obviously presents a great opportunity on the big base of players, that's already played the games and use our software through and do that with some of our licensees, with a selected few licenses that we focused on in the last many years. And therefore, I would say that, it is led by Casino and R&G games in the casino. The markets are the same market that we disclosed 18 months ago, two years ago and we moved to the mainly and it remains the same. It is China, Malaysia and various other markets across Asia. We do see, a very clear trend of the games becoming very popular and we see a very clear trend towards various initiative around regulated formats that are underway in certain part of Asia. Philippine is already regulated and we see some other opportunities in the areas.
Victoria Greer – JPMorgan: Great, thank you and yes, same question really on what are the moving parts in Europe and it looks to be up about 2% in the quarter?
Mor Weizer: With respect to sorry, Victoria, with respect to gains, with respect to the market trends that are driving this growth?
Victoria Greer – JPMorgan: Yes, so market trends in Europe.
Mor Weizer: Understood, so I would say not too different from what we basically indicated in the interims. It's basically in net effect two directions being made on the role one side, you have certain .com market and it is a view of entering into regulated revenue stream. So this is one, trend which is obviously the negative trend which is affecting PTTS to some extent, I mean affecting other areas of businesses as well. On the other side of that, we see basically growth coming from regulated markets. Now this is predominantly being coming from new business today including Ladbrokes including new software arrangement that we have and expansion of agreements that we have with our existing customers. Specifically in the UK including SKY, including Betfair, including RAY basically in Finland and in other regulated markets. So a positive trend altogether and we believe this will continue onwards.
Ron Hoffman: Victoria, we are very pleased with the fact, the growth of our licensees for focus on key regulated markets such as UK, Spain, Finland and elsewhere more than offsetting that now allocate more than fun store regulated initiatives moving for .com to regulated markets. So obviously, why the percentage is still more there it is very positive outcome for us given that our existing licensees is focusing on the key markets as our indicator is more than offset for the transition from .com to regulated.
Victoria Greer – JPMorgan: Great, thank you.
Operator: We will now take our next question from Vaughan Lewis, Morgan Stanley. Please go ahead.
Vaughan Lewis – Morgan Stanley: Just within PTTS, can you explain again what was driving the acceleration the growth particularly as you're lacking the acquisition and with the turnkey solution revenue that started to come in, what sort of profit margin should we think for that type of business? And then a couple on regulations, have you seen any indication of any changes in Malaysia at all and then with the changes in the law, that went through in Singapore, does that have any impacts on your business, is there any way you can access the regulated market there for any entities that are able to operate? Thanks.
Mor Weizer: Yes, Hi, Vaughan, good morning. With respect to your first question, as I indicated before I mean, one of the main drivers which is driving the PTTS revenue was forward is the live facility. You know the PTTS has two live facilities and it's growing both on the software side and obviously as this is same model, the same web share model that PTTS is charging for the facility, itself it's growing also on the services side. And it's reflected in the growth there. In addition to that, PTTS is also providing some operational services to other customers. One of them, one of the new ones is being Ladbrokes. This is other than the marketing agreement of the services. The big services given that we have with Ladbrokes which is of a different business model, this is in addition to that. It's basically operational services and people that we provide them in the same way that we provided William Hill few years back, so these are basically the two years and this is letting some of the effect of the, obviously some effect of this transition from .com to regulated revenue stream.
Ron Hoffman: Vaughan, good morning. With regards to Singapore and Malaysia. Singapore, actually quite encouraging, what we see currently across Asia is quite encouraging, and our research to that earlier in the first or the second question, we had. Singapore decided to change the law to bet online gaming however, it issued RFP [ph] fee by the Singapore Pools said that, will mean, that means it will operate online gaming the online gaming will be allowed through the Singapore Pools in the future. So obviously, it is another example of the market that is regulating and before that is been the market, there in terms of the -- obviously we are in the process, we monitor it closely and we are interested in submission ourselves in the area including in Singapore and will participate in this process. In terms of the impact on the business, its marginal our licensee Singapore was never focused for our licensees and while it was not close, it obviously now close, but it was not close in the past. But we have the marginal business and no charge, but our licensees have the marginal business there. So there is no impact whatsoever on our business. In terms of Malaysia, there was an inquiry Malaysia and the response was not, I don't think that there was a very clear response, how the future would look like and we definitely monitor that closely. Again as I indicated earlier Asia is worth, Europe and other markets worth few years back and we definitely think that all the time, certain regulated opportunities will arrive in Asia, the same way it happened now in Singapore, the same way it happened before in the Philippines, where we already established ourselves and we will likely see over time, over the coming years. The same trends we see elsewhere, as it is inevitable with eventually certain markets will regulate.
Vaughan Lewis – Morgan Stanley: Ron, can I just check on the comments on PTTS, what's the difference on revenue on live facility then what goes into soft player and what goes into services for the live facility revenue? Thanks?
Ron Hoffman: It's basically, I mean when the customer is taking a large offering. he needs to pay basically for two areas of the solution, one of them is software and technology, right so this is one part of that. the other one is the actual facilities, the facilities with dedicated that they are building specifically for him, it's the operational side of that. And I won't go to the commercial aspect of that because obviously that can be disclosed but, very certainly, we could charge for the surf software, which is wouldn't go into the detail how much it is, but it's standard software level and there is an additional charge to the operators, for the facility.
Mor Weizer: Vaughan, this business model exists since the early days of live facility, obviously live grows both in Europe and elsewhere and we enjoy the growth of our licensees. We see in transition in certain markets mainly Europe from casino R&G into live. And we definitely benefit from that and given the fact, that's it's an operational service. We provide our licensees on top of the software, then definitely will benefit from that.
Vaughan Lewis – Morgan Stanley: Okay, thank you.
Operator: We will now take our next question from Simon Davies from Cannacord. Please go ahead, sir.
Simon Davies – Cannacord: Can I return to the geographic scene, can you stress out performance in the UK and give us the sense of the growth rates in the last quarter, the percentage of revenues is now coming from the UK and also now that we've got confirmation of point of function tax, are you having further conversations with your licensees around sharing the pain and can you update us, in your thoughts and the potential impact of that next year?
Ron Hoffman: Yes, so UK is basically the same level as it was before, we are talking about, right now I think it's 28% in this quarter due to the significant growth coming from as I said Ladbrokes and SKY and growth in Bet365, on Bingo and other areas, so 28% altogether.
Simon Davies – Cannacord: I'm sorry and the growth rate is, broadly similar to the group growth rate, high 28%.
Ron Hoffman: I think, it's even higher than that, UK grew higher than the rest of Europe, I would say, it grew by slightly more than that, while some of the part of the rest of Europe has declined and the reason for that is exactly the transition. I mean, this is exactly reflecting some of the things that are in happening in some .com markets in Europe for the sake argument, for example the Netherlands. I mean, the Netherlands obviously many, many operators are decreasing their exposure to the Netherlands on the back of the coming regulation, this will transition to be a regulated market and therefore, you will starting growth, once it's introduced, but for the time being UK for us it's still growing faster than other markets and it's also about new business. I mean, obviously the Ladbrokes agreement is very significant on the software side to Playtech and its driving the growth and SKY is another very significant agreements for Playtech in the UK and the additional arrangements and agreeing software agreements that we had with Betfair, which is growing as well and Gala which is growing. So this is driving the growth in the UK in the faster rate within rest of the European markets.
Mor Weizer: And I think, we are always say that our number is our true reflection of our licensees and I think that, what's you said so earlier this week. Certain announcement made by various software companies like William Hill and other, obviously we enjoy the growth, they enjoy which is very encouraging for us and we believe that this trend will continue going forward.
Ron Hoffman: Now on your second question on POC, I think the picture is getting clear, but still not finalized yet, we are still at the stage where, we are discussing with some customers on how much of the pain we will accept sharing, with that being said. I think, the original estimation that we gave to the market of or the maximum pain that we will suffer with respect to the POC, through being around €12 million. I think it's still a relevant number. We are constantly reviewing that and analyzing that and this is upgraded number for us as well.
Simon Davies – Cannacord: Great, thanks.
Operator: We will now take our next question from Nick Batra from Peel Hunt. Please go ahead, your line is open.
Nick Batra – Peel Hunt: Just two questions from me. First of all, do you think your licensees are actually taking market share or are simply just a reflection of the underlying growth in the market, just interested in your thoughts on that and if they are performing sort of, to what magnitude and secondly, just on the acquisition environment, clearly the cash power continues to build. You've been looking for things for quite a sometime now. Is anything moving your direction, is it question of price or is it really a question there is just nothing out there for you to buy?
Mor Weizer: Okay, so on the market share question. The first question, obviously is one indicator. The UK grew – I assume that you referred specifically to the UK and some peak old [ph] markets.
Nick Batra – Peel Hunt: Yes.
Mor Weizer: We were quite significantly in the last quarter and earlier this year. And the answer is obviously, the UK market is not growing by more than 28% or in another words, by definition, it's a combination or market churn and then we will join the growth of the overall market. However, I can see we are fortunate to have the blue chip company's being our licensees. We work closely with them, to equip them with the tools, with the set of tools required in order to operate, effectively better than others, better than other operators in the market and they leverage the set of tools for the benefit of their -- for each and every company and leveraging the capabilities of the system. This do not exist with other operators in the market, leveraging their brand in all those who accelerate their growth, so as I said just to summarize that. Definitely it's a combination of market share and some organic growth of the market. I'm happy to say this, all of our largest licensees grow and therefore, it means that they take market share from licensees. They do not do business with Playtech currently and I assume those include mid-sized operators and one or two operators that are quite significant but do not business with Playtech. In terms of the cash position in our intention, definitely we remain acquisitive. We are focused on delivery in the good deal. We are intensifying certain opportunities, we do believe that opportunities exist. We have various ideas, we indicate the area that we're – during the interim presentation. We do believe, as I indicated during interim presentation that the right timings to do a deal will be covered at the end of this year beginning of next, not with because of they've lot of changes in the UK which will ideally put some pressure on certain companies and will get them to the right position, which will obviously will allow us to deliver a good deal that can create a lot of value, for the backset of the company and shareholders. So there we did identify, the company – in some cases, we even engaged certain companies, the processes underway, but given the size of the acquisition we are aiming at and given the cash position of the company. We have to be highly confident that it is the right strategic, did the market expect and most importantly, the right deal and best deal for the company.
Nick Batra – Peel Hunt: So from that, it sounds like, you'd be first disappointed, if you hadn't sort of made a reasonable acquisition by the end of Q1, next year.
Mor Weizer: I will say, that deals as always have a life of their own and sometimes deal are faced down. I will be disappointed, we will not be in a position to say that we identify – progress in the first half of the next year. I would say, I'm being very, very conservative but definitely we are interested in using the cash and acquiring the company that can take it to the next level. I don't want to commit on specific timeframe because obviously, it's not entirely our decision and when you do a deal, there are always two parties involves and as I said, sometimes there is time, but definitely a reinforce, sometimes in the first part of deal, is reasonable timeframe.
Nick Batra – Peel Hunt: Thanks, Mor. Cheers.
Operator: We will now take our next question from Tal Grant, UBS. Your line is open. Please go ahead.
Tal Grant – UBS: I was wondering, if you can just clarify how much of your revenues comes from China and you said to look at the perspective, then it was about 4% of revenues, so is it still the same now and also how many of your licensees operate there and do you know, if any of them are planned to pull out of there or indeed anywhere from Asia? Secondly on the structure agreements with Caliente, Trinity Mirror and RCM Media and are these all structured as profit share agreements and will it go straight into the PTTS revenue line and finally just confirm, do you now have the UK supplier license, maybe did already but just wanted to clarify that? thanks.
Ron Hoffman: Okay, so let me start on the beginning. With respect to – China is more significant from back of the growth rate, that we see in the region. Obviously China is one of the biggest jurisdictions in Asia. We need to look exactly on the current size of that compared to where it was back at the, when we to the main market, but obviously it is higher than that and we do enjoy that fact that, many of our customers including the Blue Chip customers are targeting Asia, are also targeting China. Each and every one of them by the way is targeting China. I can't think of even customer who is not targeting China in the same way that are targeting Russia, in the same way that are targeting any other unregulated markets across the globe and it is becoming more and more significant. With respect to certain licensees pulling out of Asia, I can't think of a single licensee that we hear, that is pulling out of Asia. The only I would say, noise that we heard, was only with respect to Singapore, which is very, very small to us up to the point of [indiscernible], so really not effecting us in anyway. Your question after that was?
Tal Grant – UBS: On the?
Ron Hoffman: Yes, on the process agreement. The accounting treatment will be closer to I would say, to a JV account meaning part of the consideration, the transaction will go through the top line potentially most of it as, obviously the software part of it will go the top line in quarter revenues. On services part, part of the services revenue, part of the service consideration will go to the top line. Part of this will be recorded at a JV equity line, I would say and this will obviously, this is obviously on the back of accounting treatment on the fact there is some sort of sharing of a certain call it a certain P&L. therefore it's and respective it's closer to JV accounting, but this will obviously be recorded under the services the vision P&L rather than the software part of that, simply because of the essence of that. And your last point was? So you're asking was one of the UK licenses? So yes, we do, we give that confirmation already, but we do hold the supplier licenses as the software provider.
Tal Grant – UBS: Thank you.
Operator: We will now take our next question from Richard Stuber from Nomura. Thank you.
Richard Stuber – Nomura: Just one question please. I think [indiscernible] July and August, revenues were up 21% and now you've in the Q3, they're 29%. I think, I suggest there is nearly 40% growth in September. Could you just give some color in terms of what step up was in September and now I guess, you have to back down to the 22% again, what was so special about that month? Thank you.
Ron Hoffman: Yes, it's not just about September. September specifically, as I try explain that in the statement as well. We are three customers basically moving to the White-label arrangement. The back of moving to a White-label arrangement there is a transition from Playtech's recording the revenues as the red share and to basically Playtech recording the revenues as, we call it the legal license holder and therefore the reflection in the revenue side is sort of it's like an inflation of revenues, although, the bottom line, I mean, the EBIT line for that activity would remain somewhat similar to how it was before, it's a bit in presentation from accounting perspective simply because it's a White-label arrangement rather than on the back of license held by Playtech rather than the other way around. So that's one element of it, which created the situation. With respect to growth in Q4 versus Q4, '13 compared to growth Q3, '14 to Q3, '13 I think it's only the back of mathematics at the end of the day and the growth from the fourth quarter to the third quarter in last year was basically around 5% north of 5%. This time, we are talking about north of 2%. So this is simply the mathematics of that. It's bigger numbers, obviously. Different number, so we're getting the same growth rate. It's obviously much more difficult when it comes to higher number, but still very impressive growth rate and I think 23% is definitely a good time going forward.
Richard Stuber – Nomura: Okay, thank you.
Operator: We will take our next question from Ivor Jones from Numis. Please go ahead, sir.
Ivor Jones – Numis: Actually, can I start by following onto Richards' question. He had a very good point about September being up strongly. You said that was because of the change accounted due to the White-Label, so why would that not have a similar effect in October, what I've understood that should have been?
Ron Hoffman: No, it would have, it will have a similar effect in October and going forward. It's simply Q4 in 2013, if you remember we had a very strong quarter back then, which grew around north of 5% on Q3 and, this created a bigger growth rate, therefore when you compare Q4 to Q4 and compare that to Q3 versus Q3 where in Q3 you're comparing situation and where there is a change to with White-label accounting treatment compared to a period where this was not the case. And Q4, I mean the growth from Q4 to Q3 will be obviously be milder because it already happened. So it's only the mathematics around it. There is no slowdown in the growth of Playtech that we identify.
Mor Weizer: Actually, Ivor as we indicated in the conversation. October was a very strong month for us. It was a very strong month for us and our licensees were led by various UK focused licenses, we enjoy that.
Ivor Jones – Numis: Do you mean in Q4, last year north?
Mor Weizer: Also Q4 to remember, Q3 last year, we saw some growth in traditionally slow quarter. fourth quarter was even strong than that, so obviously the rate is very high. And then as well, when indicated when comparing Q4, when comparing Q4 is difficult to Q4 last year. The growth is above 22% because the base is higher, the numbers are higher. But we definitely see the same, we see a very strong trend of growth as we've indicated in the fourth quarter as well. It's just a comparable different.
Ivor Jones – Numis: Okay, thank you and the question I wanted to ask was, about the White-label arrangement and these are three operators that have been targeting UK, the brands will continue to target UK, but they will operate on Playtech license is that, what you're talking about?
Mor Weizer: Yes, we realized that first in fact, certain company's and certain operators that Playtech withheld, no an insignificant amount of activity in the UK, but not significant amount for them to apply for license and then maintain that, and instead of them pulling out completely from the market. We offered them an alternative to that, which is a full turnkey solution in all those who do that, we obviously need to hold the license ourselves, by the way, this is the model that we have been doing for the last many, many years since we acquire the Virtue Fusion business, that held the licensing other than operator White-Label for various Bingo, smaller Bingo holes across the UK. So this is not, a new business model altogether in the industry. Obviously Dragonfish is very similar most of the operators operating under Dragonfish will operate under an 888 Dragonfish license. So this is a very valid and solid business model in the UK and elsewhere. We just extended what we had in Bingo before to allow certain operators or to process certain activity and keep it and move it under Playtech, the Playtech license and operate it ourselves. So we moved to a White-Label full turnkey solution for these licensees for the UK market. The third obviously, we said we'd refer to two licensees as well as a third one which is Trinity Mirror, which is obviously migrated from a competitor operator, but require the same framework including the full turnkey solution and a license.
Ivor Jones – Numis: So does that mean, Playtech makes the operational decision in relation to those brands for the UK?
Mor Weizer: Yes, the operational decisions are made by Playtech. Certain, I will say not all of the operational, obviously there are certain requirements that we have comply with in accordance with the regulations. So all of those decisions everything is led by Playtech and we fully comply with all the requirement not only in the UK, but other markets as well, but specifically in the UK. Certain operational decisions to do the marketing, are done not by Playtech's but by the service provider or the marketing activities provided by certain by obviously the people behind it.
Ivor Jones – Numis: And is that, how you end up being able to not compete with yourself or how to decide to allocate results between brands?
Mor Weizer: The marketing is not led by Playtech it's led by others. We just provide full turnkey solution. it's very similar to what you have in industry and you have in the industry for many, many years. it's the same for 888, it the same for Bwin.Party, providing certain similar services. It’s' the same for [indiscernible] similar business, these are obviously smaller operators, very insignificant when compared to the largest blue chip companies of Playtech it is mainly protecting the business that we have in the UK rather than competing with our licensees. It's a full turnkey solution. However, certain marketing activities are done and led by other people and therefore, we don't believe that presents any conflict with our licensees. We provide operational services, we provide the framework, the license, anything to do, everything with the license, but we are not as I indicated before when it comes to, it's not Playtech's decision.
Ivor Jones – Numis: Okay, thank you that's clear. Can I just check around something you said, did you say that and I've heard you say that, that all your blue chip licensees' target China?
Ron Hoffman: Most of them.
Mor Weizer: The vast majority of them do not been China. Obviously just to reiterate it and make it to clarify that, we are in China and elsewhere in Asia. We are focused on a selected number of customers that have been with working with Playtech for the last 10 years, since 2004 and 2005 obviously they enjoy from the changing trends across Asia, which benefit them and Playtech. It is, we have some UK focused customers offering the services in Asia, across Asia. We have limited number of customers, altogether targeting the market, but limited numbers that are based in Asia, focusing on this. It’s' a combination blue chip companies as well as other blue chip companies focused on Asia, but it's obviously with our experience the proven track record of these companies, we feel very comfortable with that.
Ivor Jones – Numis: I've heard number of different phrases including most of the blue chip customers and their limited number. I'm not quite sure, I don't go away from the call, not getting the message if [indiscernible].
Mor Weizer: Let me be very, very clear. So I'll clarify this or it will be because I'm not trying, obviously I want to make it very, very clear. Most of our blue chip company, the vast majority of our blue company may have some activity from Asia. They do not simply actively block the market. They may have an insignificant very small business, but they did not take, they do not take active measures to block Asia. However, at the same time most of the revenues were generate from Asia coming from a limited number of companies, blue chip companies that have been working with Playtech for the last 10 years plus that have a significant activity in Asia or are focused in Asia. So just to again, just to summarize that, the revenues are generated from a selected number of companies, that are focused not entirely but mostly or partly on Asia. When at the same time, we have most of our customers not actively blocking Asia.
Ivor Jones – Numis: Great, thank you very clear and just last one. We haven't talked about Peermont and Gauselmann for a while, to get revenue from them then there just needs to be regulatory change, is that right or is that something ongoing now that?
Mor Weizer: Yes, definitely that is entirely true and I think, it is important question. If before, as you know it's an ever revolving changing industry, when it comes to regulations and obviously we all saw the regulations quite early in an early stage and we were focused on certain market in the early on in the process. Now we focused on countries like South Africa and Germany and others that, say that indicated that they will regulate the market and this is why, we wanted to basically align our services and show that we have strong partners in this market. However, as you indicated as you rightfully so indicated we are in line from the market being regulated. We all, we have from various operators that they believe that Germany, it will take some time before Germany will be regulated and it took more than we expected in South Africa to regulate and however the process is underway, now people are more hopeful, that it will happen over the next, I will say 12 to 18 months. And having said all that, so obviously just to answer the question. Yes it is reliant on the regulatory changes as the market is being regulated and we have the right partners, strategic partners in the regulated or simply be regulated market that are important to the, to the online gaming industry. Having, said all that. We realized that there are, given the change of durations across [indiscernible] as well, then we should focus with our PTTS capabilities and the proven track record of PTTS, that we should focus on other market going forward on market that are already regulated and obviously Trinity Mirror in the UK and Gazzetta dello sport and Caliente are good examples of that, of the ability of the Playtech to use PTTS not only in soon to be regulated or markets that we may, regulating the future, but existing regulated market where we can start operating the general revenues.
Ivor Jones – Numis: Yes, makes sense. So I'm sorry makes sense. So I ask you finally, what proportion of revenue you think is generated from activity in Australia?
Ron Hoffman: It's marginally, Australia is I think today it's around 1%, if not less.
Operator: We will now take our next question from Simon French from Cenkos. Please go ahead sir, your line is open.
Simon French – Cenkos: A very couple of quick ones from me. Firstly just on sports, can you just give us an indication of the breakdown between like-for-like growth there, new licensees and geographical where that revenue is coming from and then just on acquisitions. I'm listening to your answer for next question, it sounded like you may be considering buying an operator, can you just confirm that? something you might be looking at please.
Ron Hoffman: Okay, hi Simon like-for-like growth is, the same growth that you see on sport. I mean, it's all on the like-for-like, there were no acquisition down on sports lately – nothing to report down there, I can think of. With respect to the split between new business and organic growth. I think, most of it comes from organic growth, a lot of it. I'd say maybe 30% of the growth is coming from new business currently. Ladbrokes is being one of them obviously, the rest coming simply organic and most of the growth is, again clearly up on mobile sport, but sports is definitely growing in a low from a lower base.
Simon French – Cenkos: Okay and in terms of where in the world, the revenue is coming from, is it mostly Asia again?
Ron Hoffman: On sports?
Simon French – Cenkos: Yes.
Ron Hoffman: Not at all, our mobile sport basically, mostly European and Australia. It's predominantly being UK, Italy and then Australia I would say.
Mor Weizer: Just to indicate, you all probably know because it's in the public domain. You can go and see that Ladbrokes, Paddy Power, William Hill, are all Playtech's customer, we have various others in Italy and elsewhere. So definitely, we enjoy best growth in the UK, in Australia, in Italy, in the Czech Republic and elsewhere.
Simon French – Cenkos: Okay and then just on the acquisition question about maybe acquiring an operator, is that something you're thinking about?
Mor Weizer: Obviously it is something, that presents and obviously something that we consider or discuss. However, as we indicated in the past it has to be an acquisition that will present a real significant growth opportunity and one that obviously will allow us avoid conflicts with our licensees. Sales and operational capabilities can be leverage in certain acquisitions and this can be done without the conflict in certain areas or geographies where we don't have any presence or that currently we do not provide our customer, are indicated before just an example to simplify and exemplify that, are refer to locally where obviously only a handful of one licensee provided so getting involved in such a product, not to stay locally but a similar product that does not put us in conflict with our licensees, may present a good opportunity. Hence we are not ruling any option, that it is very clear that our business is certain for most of our core business B2B and we understand that, we want to
Simon French – Cenkos: Okay, that's very clear. Thank you very much. Cheers, guys.
Operator: (Operator Instructions) we will now take our next question from Ed Birkin from Credit Suisse. Please go ahead, sir. Your line is open.
Ed Birkin – Credit Suisse: Just one from me, please. I just wanted to clarify the growth rate in the UK because, when you're asked about market share gains, you talked about 28% growth, which I've seen is not that high because that would imply the rest of Europe is declined 25% or so?
Ron Hoffman: Sorry, I'm not sure, I understand the question. The UK is growing faster than for us, I mean on the back of new business obviously. The list of items, which I've illustrated earlier. UK is growing faster than 28%.
Ed Birkin – Credit Suisse: So that that implies that the rest of Europe is declining by?
Ron Hoffman: That's absolutely, right. The reason for that is because of the transition from certain .com market, where you see certain customers, starting to refocus their marketing spend to exist on certain markets and I gave the Netherlands as an example. I mean, the Netherlands used to be a very strong .com market and obviously customers have started to understand that there is no, they need to decide whether they enter the market, once the rule become regulated next year. They need to decide, whether they take a license or not. They can't continue on the same way, that they did before. So other – re-focused on marketing budget elsewhere, but then you start seeing result of that is decreasing activities in such markets and this is part of effect of that. So what we saw is a very significant growth in, the UK. Italy is also growing somewhat growing, with a lot of direct, with a lot of the other jurisdictions either being very small or even decreasing.
Mor Weizer: Ed, this is actually, the usual part of business that it is so diversified with core key market such as the UK and Italy and some other, that can more than compensate with high growth rate, led by blue chip, well established operator, when others make a decision to reallocate the marketing funds elsewhere, in line with the trend that we see across the industry as part of the regulatory change.
Ed Birkin – Credit Suisse: Okay, understood and then just finally just to clarify on [indiscernible] White-Label question, do you actually hold a B2C operating license in the UK? Is that correct?
Mor Weizer: Yes, the answer is yes. And we have been doing that for many, many years now. We had their other than license, that is now going to be that on top of which, we will have UK license in line with the new regulations and it's no different than most other software providers or people or operators that have some more B2B activation [ph]. This is a valid and existing model that exist in our industry for many, many years now.
Ed Birkin – Credit Suisse: Okay, thanks very much.
Operator: There are no further questions in the queue.
Mor Weizer: Finally, I would like to invite you to a London-based Investor Day later this year, where you will have a chance to meet some of the management talent in the business and experience some of the innovation that is driving current and future performance and cementing our position as the leading B2B supplier in the space. After a recap of our mobile and integrated land-based solution. we will focus on our VI [ph] innovation tool set that enables the degree of automation for operators, previously unseen in the industry. With systems that determine the customer's future journey providing greater player segmentation, determining the gains that players are most likely to play and communicating with the players in the most appropriate manner. We have also introduced innovative features at the end of the customer lifecycle to reduce their attrition of upbeat [ph] players. Invitations are going to be sent shortly and I look forward to seeing some of you later this year. Have a great day.
Operator: Thank you. That will conclude today's conference call. Thank you for participation. Ladies and gentlemen, you may now disconnect.